Operator: Good day everyone. And welcome to the EVERTEC’s Second Quarter 2013 Earnings Conference Call. Today’s conference is being recorded. At this time I like to turn the conference over to Luis Cabrera, Senior Vice President, Head of Investors Relations. Please go ahead sir.
Luis Cabrera: Thank you, operator. And good afternoon everyone. Welcome to EVERTEC’s second quarter 2013 earnings call. I’m Luis Cabrera, Senior Vice President, Treasurer, Head of Investors Relations & Corporate Development for EVERTEC. With me today is Peter Harrington, our President and Chief Executive Officer, Juan José Román, Executive Vice President and Chief Financial Officer. A replay of this call will be available until next week August 14, 2013. Access information for the replay is listed in today’s financial press release which is available in our website under the Investor Relations tab. As a reminder, this call may not be taped or otherwise reproduce without EVERTEC’s prior consent. For those listening to replay, this call was held and recorded on August 7, 2013. Before we begin, I would like to remind everyone that this call may contains forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. This forward-looking statements of our expectations for future performance are subject to known and unknown risks and uncertainties. EVERTEC cautions that this statements are not guarantees of future performance. All forward-looking statements made today reflects our current expectations only and we undertake no obligations to update any statements to reflect the events that appear after this call. Please refer to the final perspectives for our initial public offering on Form 424(b)(4) filed with the Securities and Exchange Commission for factors that could cause our actual future results to differ materially from any forward-looking statements. During today’s call, management will provide certain information that will constitute non-GAAP financial measures under our SEC rules such as adjusted EBITDA, adjusted net income and adjusted net income per share. Reconciliations to GAAP measures and certain additional information are also included into today’s earning press release. With that, we’ll begin by turning the call over to Peter Harrington, our President and Chief Executive Officer. Peter?
Peter Harrington: Thank you, Luis. And thanks to everyone for joining us today. I am very pleased with our second quarter results and remain excited about the breadth of opportunities available to us to continue to build shareholder value. Of course our success would not be possible without our great management team and all of EVERTEC’s 1700 employees. I want to thank each of them personally for their dedication and continued hard work towards making EVERTEC a leading full service transaction processor in Latin America and the Caribbean. For the second quarter, our revenue and adjusted EBITDA grew 6%. Our adjusted EBITDA margin increased to 48.7% and adjusted net income grew at a very strong 39%. Overall, our solid results for the second quarter of 2013 demonstrate both the value of our business model and the continued execution of our strategic growth plan. We continue to expand the depth and breadth of our customer partnerships across our broad Latin American footprint. And are happy to report significant progress on a number of strategic initiatives some of which I will discuss with you in just a moment. I am also pleased to announce that our Board of Directors has approved a regular quarterly tax dividend of $0.10 per share. Our initiation of a quarterly dividend underscores EVERTEC’s significant free cash flow generation strong balance sheet and the ability to sustain predictable long term growth with low incremental capital requirements. It also reflects the confidence that our management team and Board have in our long term growth prospects as well as our commitment to maximize in total shareholder value. As you may have seen we have posted a supplemental slide to our Investor Relations website that further highlights our rational behind the initiation and some key figures that Juan will walk you through later on the call. Now on to some highlights from the quarter and some recent corporate developments. First, our Merchant Acquiring business return to a more normalized level of growth in the second quarter. As we lapsed the Durbin related impacts we discussed with you on our first call. For the second quarter merchant acquiring grew 7% driven primarily by volume growth. Next, I’d like to go through some of our recent corporate developments which underscores EVERTEC’s ability to execute on its growth strategy. I am very excited to announce that just this past week we received a TPP1 license from MasterCard to begin sponsoring customers in Mexico, Panama and Costa Rica. And in fact, we already have customers where we can begin utilizing this license. We believe EVERTEC is the first transaction processor in Latin America to receive a TPP1 license. And this represents the first step and being able to provide our customers with both issuing and acquiring services. As I discussed with you in the past, a key for EVERTEC’s growth strategy is to continue to penetrate and gain share in Latin America by leveraging our sweet of end-to-end processing solutions and this development is reflective of our excess – of our success and momentum. I am also pleased to announce a significant expansion of a business relation with one of our existing bank clients. This bank which is been an important client of ours for more than 15 years recently chose EVERTEC to provide a safe services we will provide – we will be providing to them in one country – from one country to eight additional countries over Latin America. The significant expansion of the existing business relation not only reflects our ability to penetrate and cross-sell our existing client base but also the value of our ability to deliver these types of services throughout Latin America. Lastly, we will begin offering Dynamic Currency Conversion services to our client base in Costa Rica beginning in early 2014. Our introduction of DCC into the Costa Rican market underscores EVERTEC’s commitment to continue to introduce new differentiated products and services to our customers helping them provide an improved experience to their own customers. And finally, we continue to experience strong growth in our markets outside of Puerto Rico. More specifically we experienced revenue growth in the mid-teens outside of Puerto Rico as we continue to penetrate and gain share in these markets. As we look to the second half of 2013 and beyond, we remain focused on our strategic growth initiatives of penetrating and gaining share in our core markets across all of our products and services expanding into new geographies, leveraging our assets and capabilities to drive innovation, entering new vertical markets and creating merchant acquiring alliances and joint ventures across Latin America. Now, before I turn the call over to Juan José as you probably read today, I was appointed to EVERTEC’s Board of Directors. I want to thank the Board members for their confidence in me and I look forward to working with them for the mutual benefit of the company and our shareholders. Also on behalf of the entire Board of Directors, I want to thank Félix Villamil for his many contributions both as a Director and as EVERTEC’s former Chief Executive Officer. It was Félix’s leadership that help to build EVERTEC into the market leader in Latin America. I thank him for his support, leadership and partnership and all of us at EVERTEC wish him well. With that, I’ll turn the call over to Juan, who will discuss our financial results in greater detail and also discuss our outlook.
Juan José Román: Thank you, Peter and good afternoon everyone. As Peter described earlier, EVERTEC generated solid results in the second quarter ended June 30, 2013. We again deliver very strong adjusted net income growth driven by revenue growth across all of our business segments, continued adjusted EBITDA margin expansion and the positive impact of our debt refinancing which we completed in April. Now, starting with our revenues. On a consolidated basis across our three segments, total revenues for the second quarter increased 6% to $89.2 million compared to $84.1 million in the second quarter of 2012. Looking at the underlying segments, our Merchant Acquiring business net revenues grew 7% to $18.2 million. Revenue growth in the quarter was driven primarily by higher transaction volumes. As Peter mentioned we began to a normalized revenue growth rate in merchant acquiring this quarter and we’re very pleased with the performance. Payment Processing segment revenues increased by 2% to $24.3 million versus $23.8 million in the prior year. As we noted in today’s earnings release the payment processing revenue growth comparison this quarter was impacted by a one-time non-recurring item in the second quarter of 2012. Normalizing for the one-time benefit in the second quarter of 2012 revenues in this segment grew 6% in Q2 2013 versus the prior year. And finally the Business Solutions segment revenues increased by 7% from $46.7 million which was driven by increase in our product sales and higher demand of our services. Now moving to the expense side of our income statement, our total revenues excluding depreciation and amortization were $42.3 million for the second quarter representing an increase of $2.4 million or 6% as compared to the corresponding 2012 period. The growth in our total revenues was primarily due to an increase in product sales of $2 million within our Business Solutions segment and a non-cash share-based compensation expense of $1.8 million associated with a vesting of all branch BMC stock options as a result of our IPO. These increases were partially offset by an increase of $1.4 million in professional service cost. Total selling, general and administrative expenses were $12.1 million for the quarter representing an increase of $3.7 million as compared to the corresponding 2012 period. The increase in our selling general and administrative expense was primarily due to a non-cash share-based compensation expense of $3.1 million related to the vesting of all branch BMC stock options which I just explained. The income from operations for the three-month ended June 30, 2013 was $16.9 million representing a decrease of 7% as compared to the corresponding 2012 period. The decrease in income from operations was a result of the extraordinary non-cash expense related to divesting of our stock options totaling $4.96 million. Excluding these expense operating income would have increased by $3.7 million or 20%. Total non-operating expenses for the quarter were $86.9 million representing an increase of $65.8 million as compared to the corresponding 2012 period. The increase in non-operating expenses was primarily driven by $58.5 million related to the refinancing of our assets a $16.7 million related to the termination of the consulting agreement with Apollo and Popular, partially offset by an increase of $3.5 million and interest expense as a result of the debt refinancing during the quarter. We recorded an income tax benefit of approximately $5 million in the second quarter of 2013. On a cash basis, our income tax expense was approximately $1 million. The tax benefit for the second quarter was mostly attributable to a loss before taxes as a result of the extraordinary transactions this cost above related to the refinancing contract cancellation and vesting of the stock options. Adjusted EBITDA for the quarter ended June30, 2013 was $43.4 million, an increase of $2.5 million or 6% as compared to $40.9 million in the corresponding 2012 period. The increase in adjusted EBITDA was primarily due to growth in revenues. Our adjusted EBITDA margin improved by 20 basis points to 48.7% from 48.5% in the prior year as a result of the operating leverage in the business and continued focus on cost control initiatives. Adjusted net income was $28.9 million a $0.35 per diluted share for the quarter ended June 30, 2013 representing an increase of 39% from $20.7 million in the corresponding 2012 period. The increase in adjusted net income was primarily driven by the same factors impacting adjusted EBITDA and lower pro forma cash interest expense as a result of the refinancing we completed in April. Please note that for comparability purposes adjusted net income per diluted share calculations assume that on a pro forma basis the company completed the formation debt refinancing on August – on January 1, 2013. Please refer in the reconciliation tables provided in today’s earning release for additional information. As Peter mentioned, we are pleased to announce today the initiation of a regular quarterly dividends. As part of these announcements we have provided a supplemental slide on our website that highlights our rational and certain key features that I will like to spend a few minutes walking you through. First, I would like to highlight EVERTEC’s significant free cash flow generation. As you can see by the slide, EVERTEC generates in excess of $105 million of the revertible free cash flow on an annual basis. These revertible free cash flow is calculated at our adjusted EBITDA net regular capital expenditures, cash taxes, cash interest expense and mandatory amortization on our debt. Or in essence, it is our excess cash available for a strategic investments, deleveraging and our returns to shareholders. We have discussed before our free cash flow profile is differentiated by our profitability margins at bank structure, low debt cost and the ability to drive continued strong growth with minimal capital expenditures. Our decision to implement these regular quarterly dividend will not have any impact on our strategic initiative and ability to continue to deliver strong growth on financial results. Second, EVERTEC has a strong balance sheet with significant liquidity that provide us with meaningful financial flexibility. As of June 30, 2013 we had approximately $120 million of available liquidity comprise of a $100 million on loan revolver and $20 million of balance sheet cash. We’ll have and we’ll continue to be committed to maintaining strong liquidity and deleveraging in line with our peers over the medium to long-term. And third, I would like to underscore EVERTEC’s commitment to maximizing shareholder value. Our initiation of a regular quarterly dividend and consistent strong financial performance is a reflection of this purpose and we offer a continuous support of our shareholders. On the right hand side of the page, you will see the details of our first quarterly dividend. The amount is $0.10 per common share, we will repay in September 6, 2013 to shareholders of record at the closing of business on August 19, 2013. On an annualized basis, the dividend represents a yield of approximately 1.6% based on our August 6, 2013 floating share price. Now, quickly into our guidance. We are reiterating our 2013 outlook that we provided on our last quarterly call of revenue growth of 6% to 7% adjusted EBITDA growth of 8% to 10% and adjusted net income growth greater than our adjusted EBITDA. Operator, we will now open up the call for questions.
Operator: Thank you. (Operator Instructions). We’ll take our first question from Julio Quinteros with Goldman Sachs.
Julio Quinteros – Goldman Sachs: [Foreign Language]
Juan José Román: Yes, yes. Thanks.
Julio Quinteros – Goldman Sachs: Hey, guys seriously. Congratulations, good start here. Wanted to just kind of go back to the contribution from some of the international segments outside of Puerto Rico itself. You talked a little bit about the mid-teens growth. What is the actual contribution right now and then maybe help us prioritize which countries you would expect to come online first if you think about the next couple of quarters here?
Peter Harrington: Well, I think what’s driving the growth is predominantly our QLS and our POS and our card processing side of the business. And we’re seeing that in most of the markets but as we’ve said before that relates of the business that we saw last year that’s continuing to drive it as well as, as we said before just the cash to card conversion on the current footprint that we have. As far as we’re still focused on Colombia and until we get Colombia kind of up and running and fully driving revenue, then we’ll focus on what the next market we’ll go into. But like we said in the Road Show our analysis would say that it’s probably going to be either Chile or Peru next.
Julio Quinteros – Goldman Sachs: Okay. And then in terms of contribution, I think you said it was mid-teens in terms of growth, what is the percentage of revenue contribution this quarter?
Peter Harrington: I’ll turn that over to Juan.
Juan José Román: Yeah. We said relative to same last year we had almost 15 85, Puerto Rico 85, outside 15.
Julio Quinteros – Goldman Sachs: Okay, got it. Great. Thank you.
Peter Harrington: Thanks Julio.
Operator: We’ll move next to George Mihalos with Credit Suisse.
Unidentified Analyst: Hi, this is (Allison Jordan) in for George. I have a question on your opportunity to launch the Dynamic Currency Conversion services in Costa Rica. Can you just let us know maybe how big you think that opportunity can be and what are the countries you’re looking to implement that in?
Peter Harrington: Well it will – we think it’s a business that obviously depends on the market, it’s really tailored towards the T&E business because where you really get the value is from the foreign card holders in country. So, there is some decent kind of T&E or tourist related business in Costa Rica, that’s what we’re going to be focused on first where it’s of the ATM in the POS. I don’t have an specific number for what the – what we’d see it as. And then you’d have to look at the countries where it’s not US dollar and where there is a sizeable kind of tourist industry that’s where the best benefit will come from. So, probably a market like potentially the Dominican Republic make sense, not so much Panama because they’re US dollar obviously but some of the other Caribbean markets where there is high level of tourist.
Unidentified Analyst: Great. Thank you.
Operator: We’ll move next to Sara Gubins with Bank of America/Merrill Lynch.
Sara Gubins – Bank of America/Merrill: Hi, thanks. Good afternoon. Question about the dividend, is the thinking that you would raise the payout ratio over time or you thinking about 30% as a longer term target?
Juan José Román: Our dividend basically today is an – the amount that we decided is a process dynamic process that management under worked went through to determine how much it will be, we don’t have a fixed ratio. So, as I said it will be dynamic process where we will continue with our Board discussing our growth strategies and any dividends going forward.
Sara Gubins – Bank of America/Merrill: Okay. And then separately, could you talk about the factors that would drive accelerating EBITDA growth adjusted EBITDA growth in the second half in order to get to the 8% to 10% growth targets for the year?
Peter Harrington: Sure. So, we certainly expect obviously the payment businesses to continue to accelerate their growth and obviously those were at higher margins as we said before. And then on top of that clearly in the fourth quarter with the holidays we’re going to see considerable growth in that in the payment related businesses again which we believe will continue to drive higher EBITDA growth. So, we certainly feel very comfortable that we’ll end up for the year within the 8 to 10 range that we gave you.
Sara Gubins – Bank of America/Merrill: Great. And then just last question. Could you provide some more color on the revenue growth that you’re seeing in Business Solutions, we generally think as this is slower in the (inaudible) segment business but it’s actually been growing faster in some of the other segments this year.
Peter Harrington: Yes. And we’ve been very happy about that. The – I think when you look at Business Solutions as we’ve said a lot – now the significant amount of the revenue is project related revenue and it’s technology spend. And what we’ve seen is the timing of that changes every year and what we see in this year is we saw more of that in the first half of the year. Right now we expect the business to operate more in line with our expectations for the remainder of the year but again the qualification would be these types of projects the timing is sometimes hard to estimate as to what quarter that will fall into. I think we’ve been very fortunate that we’ve seen increased technology spend by corporates and the financial institutions in the first half, we hope that continues obviously into the second half but we’re comfortable that it will probably exceed what we expected it for the year but I don’t – we don’t see today that it will continue to run at the current leverage.
Sara Gubins – Bank of America/Merrill: Great. Thank you.
Operator: We’ll next take Bryan Keane with Deutsche Bank.
Ashish Sabadra – Deutsche Bank: Hi, this is Ashish, calling on behalf of Bryan Keane. Peter, congratulations on being nominated as a Director. Quick question around the recent judge ruling on the fund implementation of Durbin Amendment. Obviously, it’s going to be a long run process, it could be a long run process. But I was just wondering, if the ruling does hold will that benefit your Merchant Acquiring business if you had any initial thoughts on it. And what could be any impact if any to your ATH network.
Peter Harrington: Okay. First, I would yes it’s – my first thought would be it will have no impact in 2013, I don’t think they will get this sorted out that quickly. And it’s early days to understand what will actually come out of it but I would say it’s going to have any impact I would suspect it’s going to have some positive impact in the Merchant Acquiring business for a short period as obviously the interchange would go down and in that business we’ll eventually pass it on but certainly there may be some short-term positive benefit. But other than that from an ATH perspective we would see a neutral at the end of the day. When (inaudible) talking about the sink of it to us it’s going to definitely be neutral it doesn’t matter which we pass it to either one and our revenue doesn’t get affected, these are MasterCard.
Ashish Sabadra – Deutsche Bank: Okay, that’s great. And just on the Merchant segment, so that segment definitely the revenue accelerated from the first quarter. In addition to lapping of the – or anniversarying of those merchant contracts, can you also talk about how your partnership or alliance with Oriental is coming along and how that helping growth in that particular segment?
Peter Harrington: Yeah, in the second quarter it had a small impact from a growth perspective, we expect it to have a bigger impact as we go forward in the year as we continue to bring those merchants that were (PPTA) merchants to (inaudible) acquired by Oriental on to our platform. Today we’re running Oriental part of the business and that’s working fine and it’s helping but we expect it will continue to add value to us as we go through the rest of the year.
Ashish Sabadra – Deutsche Bank: Okay, that’s great. So, we could expect revenue growth to improve both in the payment pace till a Payment Processing as that one-time headwind, well as you anniversary that one-time non-recurring headwind. And then on the merchant side you expect some initial – additional contribution from the Alliance. Could that be fair?. Okay. Thanks.
Peter Harrington: That would be very helpful.
Ashish Sabadra – Deutsche Bank: Thanks.
Operator: Next, we’ll take (inaudible) with Morgan Stanley.
Unidentified Analyst: Yeah. Thank you. Regarding the third-party processing license and you just received in the three countries that you talk about. Can you talk about when you’ll be able to start generating revenues in the countries into those countries?
Peter Harrington: Yes. Well we generate revenue obviously in those countries today. As we’ve said we’ve always been focused on the Tier 2 and Tier 3 banks. And what I’m excited about with this was since we’re able to use that we continue to bring value to that segment of the business. And so we’ll be able to sponsor them where they will have to get their own kind of principle license to MasterCard. And so, we have banks who – we have couple of banks already that we know we can use that license for. Now, again we’re going to have to implement them on to the platform and like any other card or POS business that will take some time, we’ll see the revenue in 2014.
Unidentified Analyst: Got it. And are there any other source that might have to license us that you’re currently applying for whether inside or outside of the three countries that you talked about?
Peter Harrington: Well, I think – I think the obvious question would be we’re going to go knock on the guys on the other side of the street next. And we’re going to look to expand that license to be able to acquire directly acquire.
Unidentified Analyst: Right. Okay.
Peter Harrington: But this one I think was the right first step and we’re very excited to get the first step done. And so now want to try to expand it beyond just those three countries and second we’d add to it.
Unidentified Analyst: Thank you.
Operator: (Operator Instructions). We’ll move next to John Williams with UBS.
John Williams – UBS: Hey, good evening. Thanks for taking my question. Couple of quick ones, first, as we look at the margin seasonality within the three businesses I guess it looks like you’re back towards starting what look like a 2011 cadence through the year. And I just wanted to make sure that’s the right way to think about it really for the three segments as we go forward. I guess secondly on the transaction growth within the segment to the extent that you can give us volume or transaction these sort of growth rates or numbers that would be helpful just for modeling purposes. Thanks.
Juan José Román: In terms of our business you’re right. In the second half we will see an increase in our transaction in our Payment businesses in both Merchant Acquiring and Payment. That incremental revenue bring incremental or non-incremental cost. So, in the second half we will see not only higher revenues, it will accelerate our revenues but most important it will accelerate our margins even faster because in those two businesses as a reminder it’s where we have the most significant margins. Business Solutions is also – grows it accelerated the margins especially as Peter mentioned we have certain projects there we complete you will see not only the accelerated revenue growth but also it will at lower margins.
John Williams – UBS: Okay. And to the extent, that you can give us Merchant Acquiring volume growth and transaction within Payment Processing, I know it’s a driver in a lot of our models so whether it’s a percentage or an actual numbers you could give that, that would be helpful. Thanks.
Peter Harrington: Okay. Yeah, we’re still working on that.
John Williams – UBS: Okay.
Operator: And now that’s conclude our question and answer session. At this time I’ll turn the call back over to Peter Harrington, President and CEO for any final or concluding remarks.
Peter Harrington: Okay. Just want to finish by saying thank you very much for your support. And we are very excited first and foremost about implementing the dividend and secondly about things that we’re doing today that’s continuing to drive momentum in the business. And we look forward to speaking to you after the third quarter.
Operator: And everyone, that does conclude our conference call for today. Thank you all for your participation.